Operator: Good afternoon, and welcome to the Clearfield Fiscal Fourth Quarter and Full Year 2024 Conference Call. All participants will be in a listen-only mode. [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note that this event is being recorded. I would now like to turn the conference over to Greg McNiff, Investor Relations for Clearfield. Please go ahead.
Greg McNiff: Thank you. Joining me on today's call are Cheri Beranek, Clearfield's President and CEO; and Dan Herzog, Clearfield's CFO. Starting this quarter, Clearfield will be publishing a quarterly shareholder letter, which provides an overview of the company's financial results operational highlights and future outlook. You can find both the shareholder letter, and the earnings release on Clearfield's Investor Relations website. After brief prepared remarks, we will open the floor for a question-and-answer session. Please note that during this call, management will be making remarks regarding future events and the future financial performance of the company. These remarks constitute forward-looking statements for purposes of the Safe Harbor provisions of the Private Securities Litigation Reform Act. These forward-looking statements are subject to risks and uncertainties that could cause actual results to differ materially from those expressed in the forward-looking statements. It is important to also note that the company undertakes no obligation to update such statements except as required by law. The company cautions you to consider risk factors that could cause actual results to differ materially from those in the forward-looking statements contained in today's press release, shareholder letter and on this conference call. The Risk Factors section in Clearfield's most recent Form 10-K filing with the Securities and Exchange Commission and its subsequent filings on Form 10-Q provide a description of these risks. With that, I would like to turn the call over to Clearfield's President and CEO, Cheri Beranek. Cheri?
Cheri Beranek: Good afternoon, everyone, and thank you for joining us today to discuss Clearfield's results for the fiscal fourth quarter and full year 2024. We'll provide a brief update on our business performance and current market trends. For more detailed information, please refer to our shareholder letter posted on the IR section of our website. We have chosen to present our financial and operational performance in this new format, as we believe it offers a more comprehensive picture of our business, and allows for more thoughtful Q&A. I will start by highlighting some key themes, and then turn it over to Dan for a summary of our performance and outlook. First, looking back at fiscal 2024, and its challenging industry dynamics, we are proud of our steady focus on investing in the business and positioning Clearfield to capitalize on the significant opportunities they had. To that end, we exited fiscal 2024 with stronger customer relationships, launched several new products that reduce deployment time, and optimized our cost and operating structure. Our revenue from homes connected continues to grow, and we are encouraged by the positive customer response to our active cabinet solutions. Looking forward, we are excited about the opportunities from both public and private funding for our rural broadband expansion. As many of you know, a core aspect of the value Clearfield brings to the market, is our decades-long commitment to supporting the homes and businesses in rural and small town communities. We focus on providing solutions, which are scalable and reduce the cost of deployment by lowering the level of skilled labor required. To that end, in the past year, we introduced several new products aimed at reducing the cost and time of connecting homes, including SeeChange, the CraftSmart FiberFirst Pedestal, the CraftSmart Deploy Reel TAP Box and the FiberFlex series of active cabinets. We also introduced a 3D interactive fiber installation tool delivered via the BILT mobile app, which simplifies the deployment process. We will continue to support the Rural Broadband segment into 2025 and beyond through additional product releases and investments. We are finalizing the design of a new distributed TAP portfolio that we intend to introduce in the coming months. We are thrilled that Anis Khemakhem has joined the company, and was recently promoted to Chief Marketing Officer. Anis brings over 25 years of industry experience with a diverse set of leadership skills. We'd also like to thank Kevin Morgan, for all of his tireless efforts in promoting the Clearfield message. We are pleased that Kevin will continue to work with us in an advisory capacity, and will represent Clearfield on the Fiber Broadband Association, and at other industry events. While we continue to expect ordering patterns to be impacted by the inventory overhang, we believe that this excess is primarily located at the MSO accounts, while the Community Broadband segment, and large regional providers have mostly recovered and returned to a normal ordering cadence. We believe that this improved outlook, coupled with the shift to the second phase of the E-ACAM program, which focuses on deployment, will serve as a growth catalyst for the later part of 2025, while we anticipate significant BEAD-driven demand in 2026. I'd now like to pass the call over to our CFO, Dan Herzog, who will provide an overview of our financial results for the fiscal quarter and full year 2024, as well as share our outlook.
Dan Herzog: Thank you, Cheri, and good afternoon, everyone. Consolidated net sales in the fourth quarter of fiscal 2024 were $46.8 million, a 6% decrease from $49.7 million in the same year ago period, but above our guidance range of $40 million to $43 million. This figure includes $35.7 million of North American net sales and $11.1 million of international net sales. The stronger-than-expected results were driven by higher sales in both the MSO and large regional service provider markets, as we've seen inventory levels decrease in certain product categories. Additionally, the company generated positive cash flow from operations of approximately $12.9 million in the fourth quarter, mainly due to a reduction in net inventory of approximately $8.1 million in the quarter. For the full fiscal year, consolidated net sales were $166.7 million, a 38% decrease from $268.7 million in fiscal 2023. Clearfield generated positive cash flow from operations of approximately $22.2 million for the full year. For both the quarter and the year, we saw revenue from homes connected continue to represent, a larger portion of overall revenue relative to comparable year ago periods. We expect this trend to continue into fiscal 2025, as operators focus on cash flow generation over deployments while awaiting BEAD program funding. Over the past year, Clearfield has successfully transitioned into an end-to-end portfolio supplier of products for both passing and connecting homes, which has positioned the company for growth consistent with the general industry outlook. As a result, we are guiding to revenues of $170 million to $185 million for fiscal year 2025. We anticipate U.S. revenue growth to be in line or above industry-focused forecasts with minimal revenue growth from our international market, as we focus on gross profit improvements for that segment. We anticipate this growth to accelerate with the positive impact of BEAD funding in 2026 and beyond, as it is focused on the rural markets where Clearfield is strongest. Although service providers remain bullish on the utilization of fiber in their build plans, we are currently seeing some level of conservatism on capital spending. As a result, we anticipate a somewhat slow start to the year, with our first quarter fiscal 2025 net sales in the range of $33 million to $38 million. We expect to generate a net loss per share in the range of $0.28 to $0.35 in the first quarter of fiscal 2025. And with that, we will open the call to your questions.
Operator:
Cheri Beranek: Yes. I want to thank everyone who has joined us today. It has been a challenging year. It's a level of dynamics that continue to change on a monthly and quarterly basis. But our focus and commitment to this environment and being able to enable the lifestyle that better broadband provides, to our customer base is absolutely consistent. So we look forward to speaking with you again, and to serving our community over the course of fiscal year 2025.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect your lines, and have a pleasant day.